Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Global Ship Lease Second Quarter 2020 Earnings Call. [Operator Instructions]. As a reminder, today's conference is being recorded. I would now like to introduce for this conference call, Mr. Ian Webber, Chief Executive Officer of Global Ship Lease. You may begin, sir.
Ian Webber: Thank you very much. Good morning, good afternoon, everybody, and welcome to the Global Ship Lease Second Quarter 2020 Earnings Conference call. As normal, the slides that accompany today's presentation are available on our website, www.globalshiplease.com. Also, as normal, Slides 1 and 2 remind you that today's call may include forward-looking statements that are based on current expectations and assumptions and are, by their nature, inherently uncertain and outside of the company's control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the safe harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recent annual report on Form 20-F, which is for 2019 and was filed with the SEC on April 2, 2020, and which you can obtain via our website or via the SEC's. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, you should refer to the earnings release that we issued this morning, which is also available on our website. I'm joined today by our Executive Chairman, George Giouroukos; our Chief Financial Officer, Tassos Psaropoulos; and our Chief Commercial Officer, Tom Lister. George will begin the call with some high-level commentary and an update on our current areas of focus. And then Tassos, Tom and I will take you through the quarterly results, our financials and the current market environment, after which we'll be pleased to take your questions. So turning to Slide 3, I'll pass the call to George.
Georgios Giouroukos: Thank you, Ian. Since our first quarter earnings call, a great deal has changed in the world in the container shipping industry. Economies are beginning to reopen in many countries. Containerized freight volumes are starting to improve. And importantly, policies have been put in place in many parts that make it possible for seafarers safely disembark and to reestablish more normal crew rotations. I am personally grateful to all of our crew who have continued to operate our ships to the highest standards throughout this difficult period. At the same time, COVID-19 continues to be a major factor in many areas, and much remains unknown moving forward. With that perspective, our top priority continues to be maintaining vigilance and resilience in this challenging environment in respect of our people, our ships and our commercial platform. Our specific areas of focus remain largely consistent with those we discussed last quarter. We're prioritizing the safety and welfare of our personnel at sea and onshore, and we're taking all appropriate steps to protect and support our colleagues. We're focused on maintaining strong liquidity and a healthy balance sheet in order to remain strong, flexible and resilient throughout all market conditions. Our strategy and charter portfolio put us in a good position here as we have $660 million of contracted revenue over an average of more than 2.3 years and only $5 million of debt maturities between now and late 2022. We continue to engage constructively with capital providers on the intended refinancing of our 2022 bond, ultimately due November 2022, and it remains our intention to pursue that refinancing on an opportunistic basis when market conditions are sufficiently supportive. In order to benefit fully from our extensive contract cover, we strive to maximize commercial and operational uptime of our ships. Further, we have remained active in chartering and with our high-quality, well-specified fleet, I'm pleased to say that we currently have our entire fleet employed on time charters. Despite the fact the global fleet show idle tonnage spike into the double digits on a percentage basis in the second quarter as the liner companies have managed capacity to meet reduced demand. This charter's success is closely related to our ability to offer consistently excellent service to our liner operator partners, providing them with reliability, operational flexibility, low slot costs and high reefer capacity that they rely upon every day. Tom will address this in more detail during his market overview, but it is worth noting that a number of the world's leading liner companies, our customers amongst them, have now reported results for the first half of the year that have significantly exceeded expectations against what was widely expected to be a major test of their ability to operate in a challenging market, the liners overall have thrived, supported by a far higher degree of pricing and capacity discipline that has ever been seen in the past as well as an increasing preference for not barely the larger ships for the trade, but those with a lower slot cost, flexibility and appropriate reefer capacity to enable them to maximize their profitability in good times and bad. Finally, while we're primarily focused on vigilance and resilience, we also recognize that there are tentative signs of a potential economic recovery. Our balance sheet and charter coverage being that we're not dependent upon the recovery being a near-term event, but we're making sure that Global Ship Lease is in a position to fully benefit from the recovery when it does take place. With that, I will turn the call to Ian for a review of our fleet and charter portfolio as well as an overview of recent highlights.
Ian Webber: Thank you, George. On Slide 4, you can see our charter portfolio, from which I'll highlight a few points. We have some $659 million of contracted revenue with a TEU weighted average remaining contract duration of 2.3 years. As George mentioned, all of our ships are employed on time charters. Indeed, other than the 2 21-year old feeder ships which we sold in July, we had only 33 days of idle time between charters during the quarter. Recently agreed charters are mainly short term, giving us coverage through the immediate future, but retaining the ability to refix in the medium term in a charter market that has already moved materially off its lows. Opportunism notwithstanding, it's important to keep in mind that 97% of our adjusted EBITDA for 2020 is already covered by contracts and 75% for next year, 2021, giving us a great deal of comfort and materially limiting our downside exposure. On Slide 5, I'll provide some color on reefer capacity, an area that we touched on last quarter, but which has become even more important as market conditions and high idle tonnage have drawn a stark contrast between the haves and the have-nots of the global container fleet. Reefer or temperature-controlled cargo, like foods, medicines and the like, is the fastest-growing element of containerized trade and a service for which the liner companies are able to charge a premium against the standard dry cargo. Hence, liner companies look for ships that can carry a significant proportion of reefer containers, which require the vessels to have incremental generating capacity and the appropriate wiring to allow the containers, which are effectively huge fridges, to be plugged in. Global Ship Lease has invested in high reefer capacity ships, including upgrading the reefer capacity of preexisting tonnage. As you can see on the left-hand side of this slide, Slide 5, our vessels have reefer capacity that is meaningfully above the medium for the vessel classes in which we operate. And in the case of some of our Post-Panamax vessels represents the gold standard in a global fleet where a few midsized and smaller ships meaningfully exceed a minimal threshold for reefer capacity. And you can see from the hollow circles on the chart that we still have opportunities to further expand the reefer capacity of certain of our larger ships to best-in-class status. Just as with our low slot costs, which is a function mainly of fuel efficiency of our ships for their carrying capacity, the reason that we want to highlight this aspect of our fleet is that this is crucially important to our liner company customers. High reefer capacity ships receive preferential employment even in weak charter markets, and they come on premiums in both earnings and vessel valuations. Moving on to Slide 6. We've outlined our second quarter 2020 results and year-to-date highlights. We continue to generate strong, predictable cash flow with contracted charter cover, with $71.4 million of operating revenue, up 13% on the equivalent quarter in 2019, mainly as a result of additional ships in our fleet. We've added 7 ships or so since then. That revenue generated $41.8 million of adjusted EBITDA, up 9% on 2019 and $13.5 million of normalized net income, which is adjusted for a noncash impairment charge of $0.9 million related to the sale of the 2 feeder vessels which were completed in July. This normalized net income is up 62% on Q2 of 2019 and reported net income, so after that impairment charge of $12.6 million is up 51% on 2019. Our operating performance for the quarter reflects certain COVID-19-related impacts, with utilization of just under 90%, negatively affected by extended dry-dockings and delays in the sales process for the divestment of the 2 oldest feeder vessels in our fleet. Our operating expenses of $24.2 million reflects the additional 7 vessels in our fleet compared to 2019. At $5,902 per ownership day, these expenses are down some $57 million - $57 per day or 1% compared to second quarter 2019 as a result of further improved ship management, partly offset by those additional vessels, the 7 that we purchased, all being Post-Panamax and thus slightly more expensive to run. Commercially, we've extended or secured new charters for 11 of our ships in the period, including 5 feeder ships for short periods at between $6,600 and $8,000 per day and 6 non-feeder vessels, so larger vessels at a wide range of rates over periods spanning from as little as 2 months to as much as almost 2 years. We've shown more detail in our press release this morning, but broadly speaking, charters skew towards being short in duration, particularly for the relatively lower rate charters to take opportunity of fixing in the upside going forward. And as Tom will illustrate, we're currently seeing meaningful improvements in day rates across these segments as market dynamics improved - improve after the pronounced COVID-19-driven lull of recent months. We also recently completed the previously announced sale of our 2 largest - sorry, our 2 oldest ships, the 1999 built GSL Matisse and Utrillo after some COVID-19-related delays in the process earlier in the year. We've also taken a number of steps to further strengthen and delever our already solid balance sheet, and we're also benefiting from historically low LIBOR affecting our interest cost. Importantly, between now and late 2022, so 2 years out, we have only $4.7 million of debt maturities, $4.7 million of debt maturities, which is very well covered by extensive contracted cash flow. We're continuing to delever, having amortized $20.5 million in second quarter 2020. As I've commented, with the majority of our debt at floating rate and with LIBOR at historic lows, we're also benefiting from reduced debt service costs. We remain in discussions regarding the opportunistic refinancing of the $267 million of our 2022 notes that are still outstanding. With that, I'll turn the call over to Tom Lister to walk us through the market.
Thomas Lister: Thanks, Ian. Let's turn to Slide 8. Now trying to call the shape and timing of the world's recovery from COVID-19 is challenging to say the least, especially when overlaid with the rumbling geopolitical and trade tensions. However, to at least provide a framework, in this slide, we present MSI's forecasts, which are heavily caveated and will change as conditions continue to evolve. So on this basis, we're looking potentially at cargo volumes shrinking by between 7% and 8% in 2020, which is more or less in line with what we saw in 2009 during the Global Financial Crisis, followed by a rebound of more than 10% in 2021. At top right, you can see that MSI reckons all trades will suffer in 2020, but the main lanes, that is the transpacific and Asia-Europe trades are likely to be hardest hit. At bottom right, you can see the anticipated demand impact in aggregate, set against a much higher conviction estimate of cellular capacity growth of only 2% or so, both this year and next. Turning to Slide 9. This slide shows what's happening in the freight and charter markets. Let's take the left-hand chart first, which provides freight rate indices for containerized cargo out of China. You can see that freight rates came under pressure as COVID-19 first hit China and then became a worldwide phenomenon. So there's nothing particularly surprising there. Much more interesting, however, is that, a, even when the impact of the virus was at its worst in the second quarter, freight rates were still up year-on-year. And b, rates are trending up. This is a testament to the capacity and pricing discipline exercised by the container shipping lines, which are expected to translate into positive financial results, further buoyed by low fuel prices. We've been looking forward to seeing liner companies' 2Q results, and we're encouraged by those we've seen to date. Turning to the right-hand chart, you can see how charter rates, so our industry, are behaving in the short-term charter market. Again, charter rates came under significant pressure as COVID began to take its toll on the global economy. Rates bottomed out in June and then as economy started to reopen, began to firm again, led, as was the case during the strong market of 2019, by Post-Panamax ships. Slide 10 puts current charter rates and asset values in a broader context. Charter rates, the red line, even during 2019 were below the historic average for the last 21 years. So that implies there may be further upside. They're now more or less where they were at the beginning of 2019, but still above where they were during the Global Financial Crisis. On the other hand, asset values, the dark blue line, have remained at or below levels seen during the depths of the Global Financial Crisis, suggesting that although there is somewhat some downward pressure on values, especially for older ships, there is no asset value bubble to burst this time around. It's worth remembering, and I'll come back to this later, but the orderbook to fleet ratio immediately before the Global Financial Crisis was about 6x higher on a percentage basis than it is today. The significantly lower orderbook we see today is a product of disciplined ordering in recent years, partly driven by constrained access to capital, partly by a more coordinated approach to capacity ordering and management by the line of mega-alliances, partly by yard consolidation and partly by the retrenchment of the tax-advantaged German KG scheme, which has incentivized speculative ordering of ships in the years running up to 2008. Slide 11 emphasizes the operational and commercial flexibility of the midsize and smaller container ships we focus on at GSL, explaining why they form the backbone of global container trade. The deployment maps at the top of the slide contrast where sub-10,000 TEU ships are operated, which is everywhere, versus where the big ships are deployed, which tends to be on the mainlane East-West arterial trades, namely the transpacific and Asia-Europe. Meantime, the pie chart at bottom left shows the composition of global containerized trade, roughly 70% of which by TEU volume, is in the non-mainlane, intermediate and regional trades typically served by midsized and small ships like ours. Slide 12 wraps up this section by focusing, as promised earlier, on the supply side of the picture. As you can see at top left, idle capacity in the market reached north of 10%, highest level, in fact, seen since the Global Financial Crisis. However, and this is an important however, the chart only runs through to the end of the second quarter of 2020. And during the course of July, idle capacity has come down and is now around 6.6%. This has been helped not only by improving demand, but also by gradual reopening of the big ship recycling facilities, allowing for the deletion of marginal tonnage from the global fleet, and we expect this recycling activity to continue to accelerate. So while we fully acknowledge that the market remains fragile and unpredictable, there are also some encouraging signs. And as we've said before, we believe that the supply side fundamentals laid out at the bottom half of this slide, namely negligible or negative net fleet growth, combined with a minimal orderbook pipeline, provide the foundation for an earnings rebound for midsized and smaller container ships when the recovery takes hold. And on that note, I'll hand the call over to Tassos to talk you through our financials.
Anastasios Psaropoulos: Thank you, Tom. Slides 14, 15 and 16 show our unaudited pro forma consolidated balance sheet, statement of operations and statements of cash flow based on the second quarter of 2020. Rather than going through every line item, let me point out a few key items. We generated revenue of $71.4 million during the second quarter. The $8.3 million increase in revenue year-over-year was principally due to the acquisition of 7 vessels since previous year. For the 6 months of 2020, we generated revenue of $142.3 million, up $14.7 million comparing to $127.6 million in the comparative period 2019. We generated net income of $12.6 million for the second quarter of 2020 after a noncash impairment charge of $0.9 million for our 2 vessels held for sale. For the 6 months of 2020, we generated net income of $13.2 million after a noncash impairment charge of $8.5 million, all related to our 2 vessels held for sale and $2.3 million premium paid on the redemption of $46 million for 2022 notes compared to $18 million in the comparative period. We are still experiencing extended shipyard time due to the effects of the virus and congestion as well as extended idle time due to operational difficulties on executing the sale of our vessels. As a result, in the second quarter of 2020, there were 210 planned offhire days for 1 vessel for regulatory dry-docking and the scrubber installation of 2 other vessels, all in progress as of end of quarter. 20 days of unplanned offhire and 194 days of idle ballast time related mainly to our 2 vessels held for sale and delayed by COVID-19 port restrictions, giving utilization of 89.6%. The average operating expenses per ownership day, including management fees in the quarter, was $5,902, down $57 per day year-over-year despite the acquisition of the 7 vessels noted above, all of which are Post-Panamax with higher daily operating expenses. The average operating expenses for the 6 months ended June 30, 2020, was $6,125 per day compared to $6,042 per day in the comparative period. Now the general and administrative expenses were $2.3 million for second quarter of 2020 compared to $2.5 million in the same quarter in 2019. The average and administrative expenses per ownership day in the second quarter of 2020 went down to $567 from $720 in the same quarter in 2019, a decrease of $153. The total cash on hand as of end of the quarter of 2020 was $89.7 million after the redemption and purchase year-to-date for 2022 notes for about $57.8 million and $23 million for purchase of 2 vessels. I won't go through them in detail now. But as always, we have also included on Slides 17 and 18 our detailed CapEx guidance and adjusted EBITDA calculator to assist you with your modeling. I would now like to turn the call back to George for closing remarks.
Georgios Giouroukos: Thank you, Tassos. I will briefly summarize on Slide 20 before moving to your questions. As we know, the global economy continues to be disrupted by COVID-19. However, Global Ship Lease has been well served by our extensive contract cover, fully employed fleet and our focus on business resilience. During the second quarter, our attractive fleet of low slot costs, high reefer capacity, midsized and smaller container ships, supported by our well-established relationships with lead liner operators, enabled us to maximize on hire time and secure strong stable cash flows despite a challenging market with an oversupply of ships in some size segments. The timing and shape of global economic recovery remains difficult to call, but we see a number of reasons for cautious optimism. Following the sharp declines over most of the first half of the year, freight rates and charter rates have both rebounded in the recent weeks with that recovery seen first in well-specified Post-Panamax vessels, particularly those with higher reefer capacity like those in our fleet just as we saw during the market recovery in 2019. Idle containership capacity has fallen significantly from a high of 11.7% in Q2 to 6.6% by the end of July. Further, the opening of shipside linked facilities is allowing marginal tonnage to be deleted from the global fleet. Our charters and liner companies have demonstrated impressive price and capacity discipline, maintaining and even expanding their margins against a challenging macroeconomic backdrop. Unlike prior downturns, the eventual post-COVID-19 demand recovery is set to take place against a supply side backdrop marked by a tiny orderbook, particularly in the size segments in which we operate. And this is a very important point, ladies and gentlemen. With well-specified low slot costs, high reefer capacity containerships in structurally undersupplied segments, Global Ship Lease should benefit from a tightening market in even a conservative recovery scenario. With that, we will be pleased to take your questions.
Operator: [Operator Instructions]. Our first question comes from Liam Burke with B. Riley.
Liam Burke: Yes. Idle capacity, peak to 10%. It's coming down pretty steadily now. You mentioned, I believe, it was 6%. How do you view the short term - I mean, it's implying that the traffic volumes, container traffic volumes are increasing or improving? How do you view the second half of the year, early 2021 in terms of anticipated container volumes up or down?
Georgios Giouroukos: Well, I will try to answer that, and Tom can also give you his view. It is quite difficult to predict. I mean, this is the million-dollar question for all liner companies. But the consensus is that all liner companies are gearing up, trying to secure tonnage for low slot cost tonnage, which seems to me that what the expectation is that trade volumes are going to pick up in the second half of the year. Otherwise, we wouldn't be seeing so much activity - chartering activity, so much liner companies trying to secure tonnage for the next 6 months or more. Tom, do you have something else to add?
Thomas Lister: No, I think that pretty much covers it. All I'd say, Liam, is the liner companies are much closer to the underlying demand for the cargo flows than we are. And as George says, and as the charter rates show on Slide 9, a number of lines have been going long on tonnage, and that would suggest that they at least see some sort of recovery in volumes. But yes, again, as George said, that's the multimillion-dollar question.
Liam Burke: Fair enough. And then your OpEx per vessel per day dip below $6,000. How do you see directionally it going into the second half of the year?
Georgios Giouroukos: Well, one aspect that we have seen that helped our OpEx go down a bit more than anticipated is the fact that we have not been able to exchange crews due to COVID. Was - they were not allowed to changes to happen. Now we are going to - we are doing, as we speak, more and more of these crew changes that were supposed to happen earlier, which we expect will increase a little bit, not materially, our OpEx for the second half of the year. Another item that might also increase a little bit the OpEx is the fact that the cost of tickets has increased about 100%. That is not a big number, of course, in our OpEx, but just to mention, since you asked the question, that's something that we expect that might increase in the second half. But all of that, nothing material really.
Operator: Our next question comes from J. Mintzmyer with Value Investor's Edge.
J. Mintzmyer: So first of all, looking at your presentation, I noticed that you have a majority of your debt on floating terms with LIBOR down to really near all-time lows. What are the prospects of fixing some of that? I know some of your peers have fixed 3 or 4 years of they're doing the fixed swaps at like 0.3% or 0.4%, just unbelievable levels. Do you have that potential to kind of freeze in these low interest costs?
Georgios Giouroukos: Yes. We have looked at that in great detail, and we are in position to fix our interest rates. We have employed actually a specialist company for that. As you know, fixing interest rates, it's not that simple to time it at the best time and get the best out of it. We feel that as we see still, there is room for improvement, and we would like to do that, and we are going to do that, but probably in the foreseeable future. But as you said, this is a unique opportunity for us to grab very cheap rates, which we are enjoying anyway, as we speak.
J. Mintzmyer: Yes, it's a very interesting opportunity. One other question for you in regards to your first priority 2022 notes. I know we've talked about this for the last 1.5 years and COVID-19 clearly put a delay in your plans to refinance those, right? They're trading at a discount to par, last I checked. They seem to be trading a little bit under 100% there. And I noticed that you still have decent cash liquidity. Are there any opportunities to repurchase some of those notes in the open market at a discount? Or are you waiting to do a comprehensive refinancing?
Georgios Giouroukos: Ian, you want to take this?
Ian Webber: Sure. Yes, we are able to take advantage of the slight discount at which our notes are trading. That said, up to this point, our focus over the last 6 months or so has been on preserving cash liquidity. We have great contracted cover going forward, but nobody knew 3, 4 months ago how this virus was going to affect the global economy and for how long. And therefore, along with delaying dry-dockings and so on and so forth, reducing CapEx where we could and we've sort of shut down on repurchasing notes in the market. As conditions improve, as you've heard from George and from Tom from the market side, where charter rates, asset values, seem to be moving upwards and there seems to be some success in controlling the virus, although it's very, very early stages, we may look to buy notes in the market, but only if it doesn't prejudice our balance sheet and if it contributes, obviously, to the wider refinancing of the balance of the 2022 notes, which remains a strategic objective of ours.
J. Mintzmyer: Certainly makes sense. Looking at the latest charter you signed on the 9 K TEU vessels, it looks like you did one for about 2 years that you extended. And then the other one is only for one quarter, it looks like just a short-term extension. Can you talk about the timing of those 2 charters? Because the freight rates dropped right into April and May and sort of troughed, right? And then they've been recovering, as you mentioned even in your presentation, quite impressively lately. Were those terms conducted recently as in like the last couple of weeks? Or was this something you did more so in the start of the summer?
Georgios Giouroukos: Well, the first picture, the short one, was done at the - say, at the eye of the storm when charters simply redelivered ships without thinking about any new charters, so any new ships to take. Because of that, we've made the decision to fix this ship very short as we expected the market was not going to stay in that state for too long. And it proved to be a very prudent decision as the next ship came open a bit later, roughly a month later or so, if I recall. And we were able to fix at more realistic market levels since these ships are so - have such a high-spec specification. So those were both pictures done some time ago, but with a distance of about a month or a bit more between them. So the first picture is showing you the bottom of all bottoms in the container market we have seen. And the other picture shows you a more normalized situation like we're now.
J. Mintzmyer: Certainly makes sense. So is it fair to say that as long as things are stabilized when the Anthea is up for a new charter, really just in a couple of months, if not weeks, correct, that it should be, hopefully, similar levels of the MIRA, if not stronger?
Georgios Giouroukos: I wouldn't want to jinx it, but I'm keeping my fingers very tightly crossed.
J. Mintzmyer: Let's keep those fingers crossed. Final question. I really appreciate your time this morning. There was preferred - sort of a preferred class of equity that was issued along with the Poseidon merger. They're basically the same as common shares except for they trade at a - they stay as a preferred class until the 2022 notes are resolved. Is that the only other contingency there? So once the 2022 notes are resolved, that converts immediately? Or are there other sort of requirements as far as that conversion to common equity?
Georgios Giouroukos: Yes.
Ian Webber: No, Steve, it's the only driver.
J. Mintzmyer: Excellent. Definitely makes sense. In front of a merger, you do want to make sure those notes are taken care of. And congratulations on navigating this ship through the storm.
Operator: Our next question comes from Joseph Farricielli with Cantor Fitzgerald.
Joseph Farricielli: Two questions. One, on the book to build and when vessels are being scrapped, do you have the insight whether they're reefer or regular container? Do you have any insight into the difference?
Georgios Giouroukos: Do you mean when we read and report a specific vessel or the scrap, whether we know if that ship has a high reefer capacity or not?
Joseph Farricielli: Right. Exactly. Yes.
Georgios Giouroukos: Yes. Well, every ship has a registry and a description. So we can always check and view what types of ships are scrapped and what is this ship's reefer capacity and other characteristics. The answer is yes, we do know.
Joseph Farricielli: Okay. And then wondering, you have quite a few different facilities, could you give us some color on what assets are unencumbered and could be used for a potential refinancing of the '22s, of the notes that mature in '22?
Georgios Giouroukos: Yes. I'll ask Tassos to come to this. And Tassos, can you please answer?
Anastasios Psaropoulos: For the refinance, as you can understand, the current security package of the existing bond will be, let's say, the main pillar of our next refinance. Of course, we do have some - another 5 unencumbered vessels in our fleet that can assist. So it depends on the proposal of the refinance at that time and the amount, of course.
Joseph Farricielli: Okay.
Georgios Giouroukos: I may add to that - I may add to that that the ships that we have free, we also have some Post-Panamaxes in this category. And those ships can get quite substantial charter rates and longer charter rates, which also helps us as we bring these ships into the refinance package because they offer longer employment and visibility of cash flows. And that's what we're trying also to use. That helps a lot the refinance.
Ian Webber: And just once again, to add to that, the specific ships that are unencumbered are Tasman, Ian H, Dimitris Y. And then the GSL Kristina and the GSL Nicoletta, which as both George and Tassos says are all Post-Panamax ships.
Georgios Giouroukos: All five of them, yes.
Joseph Farricielli: Excellent. And just wondering, is the Citi Super senior loan, I see it on Slide 24, it's about $4.7 million, has that been paid off since quarter-end? Because there's amortized...
Anastasios Psaropoulos: No, it will be paid in October.
Joseph Farricielli: At maturity? Okay.
Anastasios Psaropoulos: [Indiscernible] loan. Yes, yes.
Operator: Our next question comes from Mitchell Glynn with CVC.
Mitchell Glynn: Another resilient performance. Just one quick one from my side. The 2 investments that you've sold, I believe they back the bond that you have, if I'm like, you have to use those proceeds to pay the bond down, is that correct?
Ian Webber: For a period of time, Mitch, yes. But in the meantime, we could use the proceeds to reinvest in ships that we would then put into the collateral package.
Mitchell Glynn: Right.
Ian Webber: So there's some optionality, but ultimately, if we're unable to use the funds for anything else, then, yes, they would go to reduce the outstanding bond.
Mitchell Glynn: So is that a 12-month period you have to use that within or commit it within - is it commit it within [indiscernible]?
Ian Webber: I don't know whether it's a commit within 12 months or an execute within 12 months, but it is a 12-month period that we have to use the bond.
Mitchell Glynn: Okay.
Ian Webber: So till July next - July next year.
Mitchell Glynn: July next year. Okay. And you are going to hold on to those just into - you know you don't need it basically?
Ian Webber: Yes, more than likely. It's just an optionality.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Ian Webber for closing remarks.
Ian Webber: Thank you very much. Thank you for listening. Thank you for your questions. We look forward to providing a further update for you at - on our Q3 earnings conference call in 3 months' time. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.